Operator: Good day, ladies and gentlemen, and welcome to the QuickLogic Corporation Fourth Quarter and Fiscal Year 2012 Earnings Conference Call. [Operator Instructions]. On the call today we have Andy Pease, President and CEO; Ralph Marimon, CFO; and Brian Faith, VP of Worldwide Sales and Marketing. And now I'd like to hand the call over to Ralph Marimon.
Ralph Marimon: Thank you and good afternoon. Before we get started, let me take a moment to read our Safe Harbor statement. During this call, we will make statements that are forward-looking. These forward-looking statements involve risks and uncertainties including but not limited to stated expectations relating to revenue from our new and mature products, statements pertaining to our design activity and our ability to convert new design opportunities into production shipment, market acceptance of our customers' products, our expected results, and our financial expectations for revenue, gross margin, operating expenses, profitability and cash. QuickLogic’s future results could differ materially from the results described in these forward-looking statements. We refer you to the risk factors listed in our Annual Report on Form 10-K, quarterly reports on Form 10-Q, and prior press releases for a description of these and other risk factors. QuickLogic assumes no obligation to update any such forward-looking statements. This conference call is open to all and is being webcast live. For the fourth quarter of 2012, total revenue was $3.1 million, which was below our guidance range. New product revenue totaled $1 million. While we didn't make progress with the introduction of our ArcticLink III BX and VX platforms, customer evaluations took longer than we anticipated and the recent orders came in too late to have an impact on the quarter. Mature product revenue in the quarter totaled $2.1 million, which was essentially flat with the Q3 level. Our non-GAAP gross profit margin for Q4 was 51% and was above the midpoint of our guidance. The higher-than-forecasted margin is primarily due to the mix of products shipped. Non-GAAP operating expenses for Q4 totaled $3.5 million, which was below the midpoint of our guidance. The decline in expenses was primarily due to a one-time accrual adjustment at yearend. On a non-GAAP basis, the total for other income, expense and taxes was a charge of $79,000. This resulted in a non-GAAP loss of $2 million or $0.04 per share. We ended the quarter with approximately $22.6 million in cash. During the quarter we used approximately $2.4 million in cash, which was slightly less than our guidance. Our Q4 GAAP net loss was $2.6 million or $0.06 per share. Our GAAP results include stock-based compensation charges of $584,000. Please see today's press release for a detailed reconciliation of our GAAP to non-GAAP results as well as the detailed information on our full-year 2012 results. Now I'll turn it over to Andy who'll update you on the status of our strategic efforts. Following this, I'll rejoin the call to present our Q1 guidance.
Andy Pease: Thank you for joining us this afternoon. During our October conference call, I described the expansion of our ArcticLink III strategy to include bridge-only display solutions. We tested the strategy during Q3 and implemented it during Q4. During implementation we ran into unexpected technical difficulties that significantly limited the number of opportunities we could address. This was the most significant contribution to missing our Q4 new product revenue guidance. Since then we have implemented engineering support process changes that enable us to keep pace with demand. We now have a record number of ArcticLink III designs and process with several in the final stages of design verification. Through this increase in design activity and our process changes, I am optimistic that we will report substantial new product revenue growth for the full year of 2013. The trend in the smartphone and tablet markets is the ability of mobile devices to support a video connection to TVs. The challenge for some application processors is to simultaneously have two display paths, one for their native onboard display and the other to stream the same content to a TV via an HDMI or MHL interface, our ArcticLink III solution that supports dual-display paths is perfectly suited for this application. We are currently supporting a customer evaluation on this solution and exploring potential for processor reference designs. In addition to the increase in opportunities for our ArcticLink III solutions in smartphones and tablets, we are developing new sales opportunities for our solutions in the digital camera market. The rapid transition in the smartphone market to the MIPI display standard is creating a design challenge for digital camera manufacturers. The challenge here is the processors used in digital cameras only support a RGB bus. Therefore, to take advantage of the dropping prices of MIPI displays, digital camera manufacturers will need to use a display bridge. This opens a new high-volume market for ArcticLink III BX family and has given digital camera OEMs the opportunity to evaluate our VEE technologies offered in our pin-for-pin compatible ArcticLink III VX family. In addition to high-level design activity achieved with our ArcticLink III solutions, we gained qualified vendor list or QVL approval for our platform with a second major application processor supplier. This significantly broadens our exposure to end-customers in key emerging markets and covers smartphone and tablet applications. Shipments into the pico projector market remains small, but that is indicative of the market than anything else. General imaging, which uses our ArcticLink II VX solution in its iPico project is still working through inventory we shipped to support its predecessor PoP Video. We are told the market acceptance for the iPico is good relative to the pico projector market, but we don't have enough visibility to forecast any meaningful new revenue in the near term. Platform Development or PDI developed two prototype pico projectors using ArcticLink II VX, but has moved to an intellectual property licensing model and has decided to shelf plans to sell pico projectors directly. As you may recall, PDI licensed General Imaging for the technology used to launch its iPico projector. There were two VEE-enabled pico projectors shown at the January Consumer Electronics Show in Las Vegas. One was from DigiLife which introduced a VEE-enabled pico projector camcorder combo based on Texas Instruments' DLP light engine. We remain engaged with a number of major companies in the pico projector and light engine market. We believe our VEE and background color compensation, or BCC technology, which adjusts the color output to compensate for non-white projection surfaces, are game-changers and essential for the pico projector market. Summarizing our display activities, we made substantial progress in developing our opportunities for our ArcticLink display products during 2012 and continue to build on this momentum in 2013. We received orders from three new display customers at the end of last quarter and currently have more opportunities for the ArcticLink III family than any previous CSSP family this early in the product life. We successfully cultivated a new relationship with a major silicon supplier and we have more quantifiable interest from name brand smartphone and tablet OEMs than we've ever had before. In addition to these opportunities, we are optimistic that the design trends we are seeing in the digital camera market will open new opportunities for our ArcticLink platform and that VEE and BCC have the potential to become checkbox design requirements for the pico projector OEMs. Over the past several quarters we have made significant progress with our connectivity solutions. During our last conference call, I stated that we initiated shipments to support a new handset connectivity design during Q3. This CSSP is in the Kyocera Honey Bee 5 PHS handset. PHS is a cost-effective communication standard used in Japan and Kyocera dominates the market with roughly an 80% share. Also noted during our October conference call was the second connectivity design win. This design is in the Kyocera new Stola PHS handset which utilizes two QuickLogic CSSPs. We have initiated production shipment to support this design. While annual volume for a PHS handset is lower than a typical smartphone design, the lifecycle is significantly longer. During Q4 we won a handset connectivity design what we expect to enter production during Q2. During the first month of Q1, we won another handset connectivity design that we expect to enter production during Q3. I look forward to providing additional color on these production wins during future conference calls. We launched our catalog CSSP strategy last July and have been working closely with Texas Instruments Embedded Processor Group to develop new CSSPs for applications using one TI's new embedded processors. This relationship has resulted in the camera interface reference design. We expect to receive our first production order from this reference design later this month. Our relationship with TI is developing very well, and based on meetings we have last week with senior management, I expect to announce additional reference designs in 2013. In addition to broadening our partnership with TI, we are actively engaged with several other processor companies that are addressing different sectors within the broad embedded processor market. While individual design wins in these markets will typically yield lower volume than designs in the smartphone and tablet markets, product lifecycles are usually significantly longer. Due to these factors and the inherently lower volatility we anticipate from these markets, we view our catalog CSSP strategy as a way to diversify our end-market exposure with the broad foundation of business. However, due to the long design cycles common in the embedded market, building this business will take some time and we are forecasting only modest revenue contributions during 2013. Our work with CertiVox to jointly develop multifactor security systems based on CertiVox's PrivateSky software and our ArcticLink II CX platform is continuing. During the first phase of our partnership, the focus was on high-level definition. We have completed that phase and are working closely together on our first customer-specific design. Design and qualification cycles from the security industry are long and somewhat unpredictable. Consequently, we are not at the point where we can forecast material revenue contributions from this partnership. Over the last three-and-a-half years, connectivity solutions to support our processor partner in the wireless data card segment contributed significantly to our new product revenue. This was a very successful program and represented our first major partnership with a processor supplier. As I have discussed in previous calls, we are now at the end of volume shipments in this market. However, we believe the flow of new opportunities we're seeing today will more than offset the loss of data card revenue and result in significant year-over-year growth for our new products in 2013. Let me turn the call back over to Ralph for Q1 guidance, and I will rejoin for my concluding remarks.
Ralph Marimon: For the first quarter of 2013 we are forecasting new product revenue of approximately $1.3 million plus or minus 10%. We are being cautious in our new product forecast as we believe we will receive limited forecast input from our Asian customers until after the Chinese New Year. We are anticipating modest bookings to the aerospace test and instrumentation sector and are estimating product revenue of approximately $2 million. In total we're forecasting revenue of approximately $3.3 million plus or minus 10%. As in prior quarters, our actual results may vary significantly due to schedule variations from our customers which are beyond our control. Schedule changes for existing opportunities and projected production start dates for new opportunities could push or pull shipments between Q1 and Q2 and impact our actual results significantly. On a non-GAAP basis, we expect gross margin to be approximately 45% plus or minus 3%. The gross margin reflects lower production levels which affect our manufacturing efficiency and the mix of products shipped. We are currently forecasting non-GAAP operating expenses to be $4.2 million plus or $300,000. Non-GAAP R&D expenses are forecasted to be approximately $1.8 million. Our non-GAAP SG&A expenses are forecasted to be approximately $2.4 million. R&D and SG&A expenses are expected to increase due to new hires made during the quarter. Our other income, expense and taxes will be a charge of up $60,000. Our stock-based compensation expense during the first quarter is expected to be approximately $400,000. At the midpoint of our guidance, our non-GAAP loss is expected to be approximately $0.06 per share. We expect to use between $2.8 million and $3 million in cash. Before we move to the question-and-answer session of today's call, let me turn the call back over to Andy for his closing remarks.
Andy Pease: Thank you very much for joining us on our conference call today. While the challenges we encountered last quarter associated with the MIPI display bus prevented us from ending the year on a high note, we still grew new product revenue in 2012 by 11% and successfully introduced three new strategic CSSP platform families. With those challenges behind us, we believe we are well-positioned to deliver substantial revenue growth in 2013 and significantly broaden market and customer exposure. This concludes our prepared remarks. Now we would like to turn -- open the call for questions.
Operator: Certainly. [Operator Instructions]. Our first question comes from the line of Krishna Shankar from Roth Capital. Your question please.
Krishna Shankar – Roth Capital: Yes. Andy, can you elaborate a little more on the new smartphone design wins that you had? Are these, you know, are these designs relating to the ArticLink BX and do they relate to the MIPI display? And can you give us a sense of the type of OEMs that you have these three new designs from?
Andy Pease: Well, thanks, Krishna. Well, first, these are all China-based customers, number one. And number two, they are all BX customers that are very interested in adopting the VX technology. So, one of the impediments that we saw before was in qualifying the VX or VEE and DPO, that took a longer qualification cycle and they liked the opportunity of getting the bridge in there. So these are -- these designs are bridge chips that do RGB to LVDS interface, and the other ones are MIPI-based. So there's one that is basically an RGB to LVDS and the others are MIPI-based.
Krishna Shankar – Roth Capital: And you expect revenues from the design wins to ramp in the second half of 2013 or could we see a significant inflection of new product revenues in the June quarter?
Andy Pease: We expect to start seeing inflections in Q2, yes.
Krishna Shankar – Roth Capital: Okay.
Andy Pease: So right now you see that things are fairly slow in China building up to the Chinese New Year, and we'll know a lot more after the Chinese New Year is over. By the way, that starts this weekend on February 10.
Krishna Shankar – Roth Capital: Great. Thank you. And then on the connectivity products, can you talk about your revenue opportunity for the connectivity products during 2013?
Andy Pease: Well, we think that this will build over time, Krishna, but frankly we are very pleased with the progress that we've seen with the TI CSSPs, the catalog CSSPs, so even this year we've been slowly building up the design funnel. And what's good about this is, is that opportunities that we get with this particular design moved immediately into verification. So, since the design has already been implemented in the TI reference design, it tends to be a lot shorter design cycle for us, and also a lot less engineering work.
Krishna Shankar – Roth Capital: Okay. Great, thank you, and all the best going forward.
Andy Pease: Thank you.
Operator: Thank you. Our next question comes from the line of Brian Coleman from Hawk Hill Asset Management. Your question please.
Brian Coleman – Hawk Hill Asset Management: Yeah, great. Thank you. My first question, Ralph, what was the new product revenue for 2012?
Ralph Marimon: The new product revenue for 2012 was $5.9 million.
Brian Coleman – Hawk Hill Asset Management: Five-point-nine. And can you give some as why the ballpark is -- you feel comfortable with, what substantial new product revenue would look like for 2013?
Ralph Marimon: Well, you know we only go out one quarter, Brian, so I'm not going to -- we're not going to talk about it in any kind of detail. You know, our expectation is that new product revenue will continue to grow every quarter as we go through 2013. That's our goal, that's, you know, what Andy was referring to about year-over-year growth and substantial growth from these designs. So that's about as wide as I think I can -- or as narrow as I can get on it.
Brian Coleman – Hawk Hill Asset Management: Well, how do you, I mean, how do you define substantial?
Ralph Marimon: So that's a tough question, Brian, to answer, because we have an internal forecast that we have conservative, we have aggressive forecasts going across. So, substantial for us, I'm not going to give you a number on it, but -- except to say that, you know, I'll just repeat, that we expect it to go up every quarter as we go forward in 2013. We think we have the momentum in the design activity to sustain that.
Brian Coleman – Hawk Hill Asset Management: Okay. Let me ask you this question. If you look at your sales funnel today and kind of just took a snapshot of it, you know, if you look out then into the second half of 2013, how many designs could we expect to see in production?
Ralph Marimon: I'm going to let Brian answer the size -- or talk about the design funnel. Again, we're not going to give you specific numbers, but he can talk to you about the level of design activity we see today and what we think is going to happen as we go forward.
Brian Coleman – Hawk Hill Asset Management: Okay.
Brian Faith: Yeah, this is Brian. So we check our funnel on a weekly basis, and I can tell you with certainty that since we've rung out the process changes for the MIPI-based solutions and also launched the TI can of solutions, we've seen a significant increase in the number of designs that are going into implementation with actual customer PCB development just from last [quarter]. So that's what's giving us the confidence to say that we're going to grow significantly this coming year. Of course, some of those fall off and new ones come on, but we're confident that it's going to grow this coming year.
Andy Pease: As I tried to say in my prepared remarks, Brian, we have not seen this level of activity with any new CSSP since we embarked on the whole CSSP strategy this early in a product lifecycle. So we're very encouraged by it.
Brian Coleman – Hawk Hill Asset Management: Okay. So when you talked about the problem, the problem that was solved in the fourth quarter was the MIPI to RGB implementation issue?
Andy Pease: That actually is trying to connect a MIPI to either an RGB or an LVDS display. So the delay that we've seen in revenue from this family is really due to two things. Remember, last quarter I talked about our execution issues, and as you probably know, that we have a new VP of engineering in place, and as we started getting these new designs in, we realized that the MIPI specification is not nearly as [narrowly defined] as you might expect. And there's been a lot of publications that actually talk about this. As a matter of fact, the MIPI Alliance has developed a testing committee to try and solve this problem that has plagued not only QuickLogic but others as well.
Brian Coleman – Hawk Hill Asset Management: Okay. So, but this issue is now behind us completely, it's been dealt?
Andy Pease: Yeah. We feel like we've got enough exposure to many different types of processors that give us the MIPI input to our chip and also exposure to enough LVDS panels and MIPI displays on smartphones that we feel like we understand the right knobs to turn, if you will.
Brian Coleman – Hawk Hill Asset Management: Okay.
Andy Pease: But believe me, there are a lot of registers that need to be set or as my VP of engineering says, there's a lot of knobs to dial in.
Brian Coleman – Hawk Hill Asset Management: Okay. And then on the QVL, the second application processor supplier that you've been qualified with, have you or either of your partners publicly announced who they are? Do we know -- do we as investors know who your apps processor reference designs are with?
Andy Pease: No. We will obviously try and encourage them to do that. My guess is it wouldn't take a lot of effort if you went into China to figure it out, but basically there's no press announcement forthcoming.
Brian Coleman – Hawk Hill Asset Management: Okay. And what does your outlook over the near term look like on that front? Should we expect to see more apps processor suppliers qualify you?
Andy Pease: We are working with more apps processors other than the two that we have either alluded or mentioned specifically in past earnings call, yes.
Brian Coleman – Hawk Hill Asset Management: Okay. And then the last question on this, if I -- if you're to look at, you know, some measure of market share, whether it's -- well, I'll let you -- if there's a way to do this, how significant are the apps processor companies? Are they -- would you call them tier 1's or tier 2's or regional tier 1's? I'm just going to leave it at that.
Andy Pease: Let me think. Well, you know, I've got to be honest with you, this whole notion of tier 1 and tier 2 really puts us into a quandary every time we try and prepare our text for this. I would say that the one that we mentioned to me is certainly a dominant force in the market that they're going after.
Brian Coleman – Hawk Hill Asset Management: Okay. Okay. All right, that's great. Well, it sounds like everything is, you know, kind of sailing in the right direction now, so that's great. Congratulations.
Andy Pease: Thank you.
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of Bob West from NI Tech Research. Your question please.
Bob West – NI Technical Research: Hello, Andy. Thanks for taking the call. I wanted to start by asking perhaps a two-part question. I know the company's data card revenue went longer than expected last year, but was the sharp fall in Q4 '12's new product revenue impacted at least to some extent by the data card revenue? And also, is your Q1, was it impacted by it as well?
Andy Pease: So the Q4 revenue was not impacted by data cards. Really, like we said, it was substantially the -- we anticipated a lot more design wins would go a lot more quickly for the ArcticLink III family. Certainly in Q1 we have a data card overfill, but we've not been counting on that. But certainly that's one of the holes that we have to fill, but we feel confident that our design funnel can more than adequately not only fill the hole but also lead to, as I said, substantial growth throughout the entire year or for the entire year.
Bob West – NI Technical Research: Okay. Yeah, that was appreciated guidance from you -- not guidance, but color from you. Second question is, your formally introduced the AL III BX last quarter, as you indicated, how well is the BX completing -- competing with standalone bridge chips? That's one part of the question. And what are the -- what are the competitive advantages of your BX and are you encountering any competitive challenges for that part of your strategy?
Brian Faith: So, Bob, this is Brian, I'll take that question. As you know, the BX family has a lot of different variants based on RGB, LVDS or MIPI. If you look in the market today, there's a lot of semiconductor guys that actually have RGB to LVDS bridges. That was really driven out of the notebook space and PC space and they're fairly well-commoditized at this point. MIPI is a fairly new standard and there aren't so many incumbents that have devices that support the MIPI interface. So from a competitive standpoint, definitely we see ourselves competing more favorably on the MIPI side. If you look at our platforms in general, the value propositions that we talk about are very small form factor, very low power compared to these other devices, and of course we also have the pin-for-pin compatible upgrade [path], a more feature-rich bridge device, so it's not literally just the bridges, the bridge, it's the bridge plus the path to VEE and DPO. And that's really how we position it with customers. By the way, the other thing I'll throw in there is kind of the importance of being on these QVLs. When you have QVL certification with a processor guy, you're really lowering the perceived risk of an OEM to adopt this. And so that's why being on these QVL is important for us, as well as a differentiator in some cases. Does that answer your question?
Bob West – NI Technical Research: Yes. So, on that last subject, are you now on [fool-proof] list, is that correct, what the comment made in the prepared remarks?
Andy Pease: Yeah. The prepared remarks, actually we're on one list right now, and obviously we're working on getting on more list, not only with that particular guy but also other processor companies.
Bob West – NI Technical Research: Okay. Thank you for that. Next question is, same debate, more and more news about midsize phone tablets called phablets I guess in some cases, Pantech is showing their Vega 6 with a 5.9-inch display. Do you have engagements in this midsize phone-tablet market?
Brian Faith: I'll answer that, Bob, by saying that we have engagements with a variety of form factors that would range from probably 4.5 inches all the way up to just over 9 inches in display size. And actually if you look at what happened at CES this year, even the term phablet is losing its definition because people are coming out, like Huawei, with a 6-inch and 6.5-inch smartphone, some guys having 7-inch tablets and coming down. So it's kind of a mix in the market, but it's safe to say we're engaged with different display sizes from that low end up to just over 9 inches.
Bob West – NI Technical Research: Okay. Well, very good. Thanks for that. Next question, I guess maybe it's not appropriate but it’s a question I was going to ask a while, so, in prior quarters you have noted AL III VX design activity with tier 1 smartphone and tablet makers, I was going to ask if you expect to report production revenue from sales to tier 1 customers this calendar year?
Andy Pease: All I can say is that we're working hard to make that statement a reality.
Bob West – NI Technical Research: Okay. The next question I have of you is, with the rising popularity of the MIPI four-lane displays, are there other -- are there other non-merchant market opportunities worth noting beyond the camera market?
Andy Pease: That's actually a very good question. We have spent quite a bit of time looking at adjacent markets and there are possible adjacent markets like the automobile market, for instance, digital signage is another one. And we think that the camera market is really the best place that we can pursue. Obviously we have limited resources and I don’t want to spread our resources too thin. But I can tell you that I personally visited these guys on my last trip to Japan, so we think that that is a very real opportunity for us.
Bob West – NI Technical Research: Okay. Next, I think just a couple of three housekeeping questions I had. In your fourth quarter, if you can, can you give some indication of what percentage of some of your new product revenue was from new designs in the Q4? Did you initiate new designs in Q4 that resulted in revenue for new product revenue?
Ralph Marimon: I don’t know that we've broken that out, Bob, before. I think it's fair to say if we did, it would be pretty small given our revenue level. So we anticipate that activity though increasing as we get into Q1 and Q2.
Bob West – NI Technical Research: Okay. Then for Q1, is it correct for me to assume that you will have two smart connectivity handsets shipping during Q1?
Andy Pease: One, two -- yes, that is correct. As a matter of fact, we've already been shipping on both of them.
Bob West – NI Technical Research: Right. Okay.
Andy Pease: Right.
Bob West – NI Technical Research: And then on the AL III BX/VX, have you included some new products shipping in Q1 in your guidance there?
Andy Pease: Yes.
Ralph Marimon: Yes.
Andy Pease: Yes, we are including new shipments of AL III both BX and VX.
Bob West – NI Technical Research: Okay, very good. And -- but on the Sotera revenue, that's not a first quarter opportunity that you know of, not including your revenue forecast, I presume?
Brian Faith: So as we mentioned in the prepared remarks, as Andy mentioned, we are expecting an order very shortly in the quarter. What the actual CRD data is for that is to be determined when we get the other. So we may have some revenue in Q1, it may go on to Q2. But we're confident we will get an order.
Bob West – NI Technical Research: Well, I think that's all I have. Thank you. And frankly -- I guess I did have one more question. Given the fact that, you know, that you did have the problem with the MIPI interface in Q4, how did you get an increase in your revenue of -- for Q1 of $1.3 million compared to Q4, the $1 million. You got a nice, at least beginning of revenue increase in Q1. And might you give me some color on how that came about?
Andy Pease: Well, I can tell you that over the past quarter and a half we have spent a major effort inside QuickLogic of improving our processes to make sure that we can actually solve these [proof of] engineering problems that will always come up as quickly as possible. So I'll tell you, I could not be happier with George Apostol, our new VP of Engineering, and the processes he's putting in place. So I think that's a big contributor to why we're seeing some increase now.
Bob West – NI Technical Research: Okay. Very good. That's encouraging. So, thanks, Andy, for that clarity and insight, and best wishes on the quarter.
Andy Pease: Thank you.
Operator: Thank you. Our next question is a follow-up question from the line of Krishna Shankar from Roth Capital. Your question please.
Krishna Shankar – Roth Capital: My question has been answered.
Andy Pease: I'm sorry?
Ralph Marimon: Question has been answered.
Andy Pease: Oh, your question -- okay, great.
Operator: Thank you. Our next question comes from the line of Jason Polansky from JP Capital Market. Your question please.
Jason Polansky – JP Capital Market: I apologize if this is answered before. What was the data card revenue in Q4?
Ralph Marimon: We've never broken out market revenue by any segments in a quarter, so we've not really said what that is.
Jason Polansky – JP Capital Market: Okay. I'm just trying to get an idea of how much of a headwind you're fighting. I assume you're saying that Q1 there's no data card revenue anymore, is that right?
Andy Pease: That's true. And I guess the only thing I would try and add to maybe help you with some color is Q4 was the end of a 3-1/2 year run.
Jason Polansky – JP Capital Market: Yeah. So obviously it's moving. Well, let me ask you this then. Would a product coming to the end of a 3-1/2 year run tend to have -- just peter out to nothing or is there like a -- did you guys have a last call on that to allow people to fill up any inventory that they wanted?
Andy Pease: I guess the only thing that's fair to say is we didn't have a last time buy, if that's what you're implying.
Jason Polansky – JP Capital Market: All right. I may call you a little bit later, Andy. But thanks a lot for the call today. And congratulations on a much better outlook.
Andy Pease: Thank you.
Operator: This does conclude the question-and-answer session of today's program. I'd like to hand the program back to Andy for any further remarks.
Andy Pease: Well, I want to thank everybody for your support. And please note that we will be at the 5th Annual Roth Conference in March of 2013. Our Q1 2013 earnings conference call is scheduled for Wednesday, May 1, 2013. Thanks again.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.